Operator: Welcome to the Fiserv Fourth Quarter 2012 Earnings Conference Call. [Operator Instructions] Today's call is being broadcast live over the Internet at www.fiserv.com and is being recorded for future reference. In addition, there are supplemental materials for today's call available at the company's website. To access those materials, go to the company's website and click on the link in the Events section of its home page. The call is expected to last about an hour, and you may disconnect from the call at any time. Now I'd like to turn over the call to Eric Nelson, Vice President of Investor Relations at Fiserv.
Eric Nelson: Thank you, and welcome to our year-end call. With me today are Jeff Yabuki, our CEO; Tom Hirsch, our CFO; and Mark Ernst, our Chief Operating Officer. Our remarks today will include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. We will make forward-looking statements about, among other matters, adjusted revenue growth, adjusted internal revenue growth, adjusted earnings per share, adjusted operating margin, free cash flow, free cash flow per share, revenue and cost synergies, sales pipelines, acquisitions and our strategic initiatives. Forward-looking statements may differ materially from actual results and are subject to a number of risks and uncertainties. Please refer to our earnings release, which can be found at our website at fiserv.com, for a discussion of these risk factors. You should also refer to our earnings release for an explanation of the non-GAAP financial measures discussed in this conference call, and for a reconciliation of those measures to the nearest applicable GAAP measures. These non-GAAP measures are indicators that management uses to provide additional meaningful comparisons between current results and prior-reported results, and as a basis for planning and forecasting for future periods. With that, let me turn the call over to Jeff.
Jeffery Yabuki: Thanks, Eric, and good afternoon. Overall, 2012 was a year of strategic progress and generally solid financial results, including our 27th consecutive year of double-digit adjusted earnings per share growth. Although revenue was below plan for the year, the downside of lower license revenue was partially offset by strong gains in our primary objective: building recurring revenue, which should continue as a result of several large sale successes this year. In the 3 weeks since the Open acquisition, we've become even more bullish about the depth of strategic fit and the opportunities that we have to deliver value to our clients. The market reaction has been more positive than I had anticipated, and our teams are working very well together. We're off to a great start on integration, and drilling into the more than $125 million of synergy opportunities identified in this transaction. We feel very good about this complementary acquisition, which broadens our offerings in several key areas. Now let me move on to the results. For the fourth quarter, adjusted revenue was flat and was up 3% for the year. Adjusted earnings per share in the quarter was up 9% to $1.39 and increased 12% to $5.13 for the full year, our first time crossing the $5 per share mark and well within our guidance for the full year. Adjusted operating margin in the quarter increased 70 basis points over last year's fourth quarter and 90 basis points, sequentially. Full year adjusted operating margin was up 40 basis points to 29.6%, which is compelling considering the reduction in high-margin license revenue. Free cash flow for the year was up to $772 million and free cash flow per share was up 8% to a record $5.61 per share. We had a very strong finish to sales and ended the year at 105% of quota. In particular, 2012 was a fantastic year for our bill payment business. We closed more business in 2012 than in 2008, '09 and '10 combined. We had 3 key priorities for 2012. First, to deliver an increased level of high-quality revenue growth and meet our earnings commitments. Second, to center the Fiserv culture on growth, leading to more clients, deeper relationships and a larger share of our strategic solutions. And third, to deliver innovation that increases differentiation and enhances results for our clients. Although 2012 adjusted internal revenue growth was below our expectations, this does not represent a change in our business. In fact, as Tom will highlight, processing and services revenue increased 5% in 2012, while our product revenue declined 3%, due primarily to the lower discretionary license revenue in the quarter compared to the exceptional prior year's results. The consistency of our business model is reflected in the 12% growth in adjusted earnings per share, along with the 40-basis-point increase in adjusted operating margin; this, despite the ramping of our newer solutions and a margin drag from the shortfall in discretionary license revenue. We remain committed to centering the Fiserv culture on growth in order to build additional high-quality revenue. Our sales in the fourth quarter were exceptional, attaining 126% of quota and 105% for the year. These strong results were led by sales of outsource solutions and core processing and payments. Earlier in the year, we signed a number of new strategic bill payment clients, including TD Bank and Regions Bank. That momentum carried into the fourth quarter as we added Union Bank and expanded our long-time bill payment relationship with Wells Fargo bank, which we expect will contribute meaningful new revenue in 2014. Add the 10-year renewal of our Bank of America relationship and our bill payment business is in by far the best position to have sustained growth acceleration since we acquired CheckFree back in 2007. We also gained important share in our newer recurring revenue solutions such as Mobiliti. We added more than 550 financial institution clients in 2012. Even more important, we ended the year in our ASP offering with over 830,000 mobile subscribers, a far cry from the less than 1,000 we had at the beginning of 2010. This is just one of several examples in which our add-on solutions are driving value for clients and attractive growth for us. Our last, and arguably highest priority for 2012, was a focus on providing differentiating solutions that enhance client results. Financial institutions are focused on driving revenue and increasing efficiency as they face low rates and regulatory burdens. This challenge is compounded by empowered consumers who are increasingly demanding anytime, anywhere access to their banking services. To that end, we see the convergence of mobile and payments to be one of the most interesting opportunities in the market. We now have nearly 1,400 mobile clients, have expanded our P2P network to over 1,800 Popmoney clients, including many of the largest institutions in the U.S. We met our commitment of making realtime Popmoney transactions available in the fourth quarter, which we believe is a true game changer. We expect to extend realtime enablement to several of our core payment capabilities, which we believe is differentiating for our clients and should unlock significant market value. Lastly, as we shared in conjunction with the Open Solutions acquisition, we plan to enhance the value of our new DNA account processing platform with elements of our innovative Acumen solution. Even though we plan to add functionality over time to further enhance the solution, DNA is ready for prime time, right now. We have a very active pipeline and have already signed our first new Fiserv DNA client. The nearly 600 clients who are on the DNA platform today are happy and see increased opportunities moving forward. With that, let me hand the discussion to Tom to provide more details on our financial results for the year.
Thomas Hirsch: Thanks, Jeff, and good afternoon, everyone. Adjusted internal revenue growth was flat in the quarter and up 2% for the full year. As we discussed a few weeks ago, revenue in the quarter and primarily in December was negatively impacted by weak Acumen revenue and lower discretionary license, services and hardware revenue across the company compared to the superior performance in the prior year's fourth quarter. Overall license fees, which represent only about 4% of annual adjusted revenue, were down approximately $30 million for the year; about $25 million was in the fourth quarter and a substantial majority of that occurred in December. The shortfall in onetime revenue was partially offset by sequential acceleration in our Payments segment revenue growth rate to 3% in the quarter. Processing and services revenue in the fourth quarter, which is primarily made up of our recurring revenue solutions was up 4% over last year, while product revenue, which includes license fees, was down. We continue to see strong demand for the outsourcing solutions that Jeff highlighted earlier that drive revenue, customer value and efficiency for our clients. We are making great progress in growing our high-quality base of recurring revenue, which should continue to drive operating margin expansion and cash flow growth over the long term. Adjusted earnings per share increased 9% in the quarter to $1.39 and 12% for the full year to $5.13, squarely within our guidance range. Adjusted operating income was $334 million for the quarter. Adjusted operating margin in the quarter was 30.7%, an increase of 70 basis points over the prior year's fourth quarter and up 90 basis points over the third quarter, including the negative impact of the lower license fees in the fourth quarter. Full year adjusted operating margin was up 40 basis points compared to last year, primarily driven by growth in high-margin recurring revenue and the success of our operational effectiveness initiatives. This was partially offset by increased sales costs and product investments, expected dilution from the CashEdge acquisition and lower license revenue. Now on to the segment results. Adjusted revenue in the Payments segment increased 3% to $572 million in the quarter and was up 4% to $2.2 billion for the full year. Adjusted internal revenue growth was 3% in the quarter and 2% for the full year. Card services and digital channels continued to drive strong revenue growth in 2012, which was partially offset by weaker performance in bill payment and investment services and the anticipated negative Durbin impact on our Biller Solutions business. Bill payment transaction volume improved from the negative transaction growth in the third quarter. We expect to see accelerated growth in the bill payment business in 2013, given the number of large new wins Jeff highlighted earlier. We produced strong results in our debit business with transaction volume increasing 15% and 16% in the quarter and year, respectively, driven by the continued expansion of our client base. Adjusted operating income in the Payments segment was up to $179 million in the quarter compared to $174 million in the previous year. Year-to-date adjusted operating income was $668 million for the year compared to $656 million in the prior year. Adjusted operating margin was 31.2% in the quarter, flat compared to the fourth quarter of last year and down 70 basis points to 30.3% for the full year. Segment operating margin for the year was negatively impacted by bill payment deconversions, the expected margin pressure from CashEdge and the ramp-up of our offerings in digital solutions. Financial segment adjusted revenue declined 3% in the quarter to $524 million but increased 2% to $2 billion for the full year. The shortfall in license revenue in December I mentioned earlier, drove virtually all of the negative impact in the quarterly results for the segment. Operating income for the quarter in the Financial segment was down slightly to $173 million. Operating margin was flat in the quarter at 33.1%, which was strong performance given the negative impact of the license revenue shortfall. For the year, segment operating margin was up 140 basis points to 32% on the continued leverage in our core account processing businesses, incremental savings from our operational effectiveness initiatives and increased efficiencies in our item processing business. The adjusted operating loss in our Corporate segment for the fourth quarter was $18 million, consistent with the $21 million in our second and third quarters' performance. The loss was lower than the prior year's fourth quarter, due primarily to the quarterly timing of expenses in 2011. Our adjusted effective tax rate of 37.1% for the quarter was in line with our expectations. And the 35.7% adjusted full year rate was slightly lower than 2011. For 2013, we expect our adjusted effective tax rate to also be slightly lower than the 2012 full year rate. Free cash flow for the quarter was $271 million, an increase of 19% over the prior year. For the full year, free cash flow was $772 million compared to $746 million in 2011. The 2012 total excludes nearly $70 million of cash we received in the quarter, including a distribution from our StoneRiver joint venture, which is included in net cash from investing activities, and an insurance recovery, which is included in discontinued operations. Free cash flow per share grew 8% to $5.61 for the full year and was primarily impacted by higher tax payments during the year compared to 2011. We completed our refinancing activities during the year by issuing $700 million of new 10-year notes at 3.5%, repaying the balance of our 2007 term loan and entering into a 5-year $2 billion revolving credit facility. In connection with the Open Solutions acquisition in January, we paid off $600 million of this debt using our credit facility, and we expect to use a combination of the facility and cash on hand to redeem the balance of this indebtedness, $325 million of 9.75% notes in February. We repurchased 9.2 million shares for $625 million during 2012, as compared to 8.8 million shares in 2011 for $533 million. Over the last 2 years, we have repurchased 80 million shares or 12% of our outstanding stock at an average price of just over $64 per share. As of December 31, there were 5.6 million shares remaining on our existing repurchase authorization. Although we anticipate that we will allocate more cash to debt repayment in 2013, as compared to 2012, we will continue to allocate capital, consistent with our strategy in a manner that builds value for our shareholders. With that, let me turn the call back over to Jeff.
Jeffery Yabuki: Thanks, Tom. As I mentioned upfront, our sales results in the quarter were outstanding as we achieved 126% of quota and 105% for the full year. The results in the quarter were strong across the board, led by large bill payment transactions with Wells Fargo and Union Bank. We had great success with our payments and channel solutions during the year, including more than 400 new bill payment clients, 165 debit clients, more than 550 Mobiliti clients and over 450 signed up for Popmoney. Despite the excellent sales performance, our pipeline remains strong as we enter the new year. We also expect the Open Solutions acquisition to contribute momentum as we add new account processing clients, promote our broad-based solution set to our newest clients and expose our existing clients to the high-quality products and services that Open Solutions has to offer. Integrated sales finished well at $69 million in the quarter and $189 million for the full year. Our operational effectiveness results came in very strong, finishing at $62 million for the year. We continue to see the financial institution market as stable, but with continuing challenges centered primarily on the revenue and regulatory fronts. 2012 ended with only 64 actions, nearly half as many as there were in 2011, impacting 51 banks and 13 credit unions. In addition, the average size of an impacted institution was down 40% from 2011. Bank M&A activity was down compared to the prior year through September 30th, and we generally expect acquisitions to trend around the same level for 2013. There had been no de novo charters issued through the end of September, and we also don't expect that trend to change measurably in 2013. We generally expect the moderate growth rate in financial institution IT spend we saw in 2012 to again be similar in 2013. We also believe that outsourced solutions will continue to be favored by the majority of institutions and that integration value will trump best-of-breed value in most cases. Lastly, we expect technology spend to again bias toward solutions that drive revenue, enhance customer relationships and improve efficiency in the nearer term. Before I get to guidance, let me share our 2013 priorities, which are modified slightly based on market momentum, product strategies and the focus on integration of Open Solutions. First, continue to build high-quality revenue growth and meet our earnings commitments. Our second priority is to extend market momentum into deeper client relationships and a larger share of our strategic solutions and third, deliver innovation and integration to enhance results for our clients with an important focus on Open Solutions. Now to our guidance, which has not changed from the preliminary numbers we shared a few weeks ago. We expect 2013 adjusted revenue to increase by more than 10%, and that adjusted internal revenue growth will be in a range of 3% to 4%. These numbers include approximately $50 million in lost revenue, more than 100 basis points of internal growth this year due to the unusual migration of an account processing client that transitioned to its parent's account processing platform and the impact of the 10-year Bank of America renewal. We expect 2013 adjusted earnings per share growth of 15% to 18% or a range of $5.88 to $6.07 over 2012. We estimate free cash flow per share will be more than $6.60 per share, an increase of at least 18% over 2012. We expect adjusted operating margin to expand in a range of 10 to 50 basis points. This estimate includes the approximately 60-basis-point negative impact from the revenue headwind and also margin dilution associated with the Open acquisition. For modeling purposes, we anticipate that our revenue and earnings growth will be sequentially stronger each quarter as we move through the year. A number of our larger recurring revenue client conversions are planned for the second and third quarters of 2013, and the impact of the negative headwinds are also more pronounced in the first half of the year. We also expect the Open Solutions results to increase during the year, consistent with their normal business model, the cumulative effect of integration benefits and the pay-off of the higher cost debt. We're in the process of realigning the specific annual targets for our operational effectiveness and integrated sales targets to consider the Open Solutions acquisition. Accordingly, we are now prepared to communicate annual targets for 2013. However, you can be sure we are very focused on these initiatives and we'll provide you with an update at the end of the quarter -- sorry, at the end of the first quarter. In summary, 2012 was a good year. We made strategic progress, grew recurring revenue, achieved our earnings targets and closed a number of significant sales, all which we believe will accelerate our internal revenue growth, earnings and cash flow. We are starting to see measurable impact from some of our investments and innovation, and are delivering more value to clients. We are also focused on the integration of Open Solutions, which should allow us to deliver new and enhanced value to their more than 3,300 clients. That, combined with the commitment of our more than 20,000 associates, is creating momentum, which should lead to strong results in 2013, and has lifted our confidence for 2014 and beyond. With that, operator, let's open the line for questions.
Operator: [Operator Instructions] Our first question comes from Glenn Greene with Oppenheimer.
Glenn Greene: This quarter, and I know you've sort of talked pretty bullishly about the quota attainment. I was wondering if you could help us sort of think about the sales growth on an absolute basis, both for the quarter and year-over-year. And obviously I would have thought that sales growth, given the tough comp and what you sort of articulated on the license side, would have -- probably would have struggled in the fourth quarter.
Jeffery Yabuki: Glenn, you cut out a little bit upfront. Would you mind repeating the question just [indiscernible]
Glenn Greene: Yes, I was just trying to get a sort of an absolute sales growth for both the quarter and for the year, not the quota attainment, but the absolute sales growth in the context of the license number being down $25 million year-over-year and you had a very difficult comp, so I appreciate that.
Jeffery Yabuki: Sure. So, Glenn, the -- we don't, as you know, we don't supply kind of the absolute-to-absolute numbers. What I can tell you is we've continued to move our expectations up on a year-in-and-year-out basis for quota attainment. So each year, the quota attainment is getting higher. And you are right, we had a very strong end of last year from a sales perspective. The real difference is in this year, even though we had less revenue coming from license sales, we had substantially more revenue or -- I'm sorry, substantially more sales and therefore, value coming in on the recurring revenue side from processing, whether it be debit or, obviously, we had a significant number of bill payment wins. So the mix of sales, the value of the sales was -- ended up being substantially greater in 2012 than it was in 2011. That's one of the reasons why we're quite bullish kind of moving into 2013 in terms of the size of the recurring revenue contracts that we've signed, as well as the impact that we see on '14 for clients such as Wells Fargo that we mentioned.
Glenn Greene: Okay. And I know you -- I appreciate the fact that you're working on sort of a new integrated sales kind of goals, assuming Open. But directionally, what should we assume in terms of the synergy targets you have for Open like directionally, how much contribution on the revenue cost side you're considering for Open within the '13 numbers?
Jeffery Yabuki: Sure. As you'll recall, Glenn, we talked about $125 million in total synergies, about $50 million of cost and about $75 million of revenue. And given that we've closed this acquisition in January, we would expect those kinds of benefits to ramp. We thought that the -- ramp during this year -- we thought that the cost synergies would occur in a 2- to 3-year period and the revenues would occur about over a 3- to 4-year period. So we don't expect there to be a material synergy impact this year. We expect to actually make a lot of progress capturing the annual value in this year. But we don't expect to have a significant impact on the P&L this year.
Glenn Greene: Okay. And then just one sort of product question and then I'll get out of the question queue. As it relates to Acumen and DNA, I'm a little confused as to how you're leading. Are you going to continue to have the Acumen product going forward, you're just sort of rolling some of the piece parts of Acumen into DNA? And now my understanding that DNA was more of a thrift and credit union product. So I'm confused if you're going to have 2 sort of branded products.
Jeffery Yabuki: Sure. So from that standpoint, Glenn, we've actually made it pretty clear that our go-forward platform is, in fact, DNA. We do intend to move a number of the more innovative features that we've developed in Acumen into the DNA experience over time. But DNA is a proven platform serving about 600 credit unions, banks and thrifts today and it actually has a large proportion of those being credit union, they have a strong reputation on the credit union side, as well as on the bank side. But probably a deeper reputation on the credit union side of the house today for DNA. So we see that to be a very good alternative in the larger end of the credit union space. And it's very important to us to not have competing platforms in that space. That's really -- so that is one of the reasons why we expect -- not expect, we will move forward with DNA as our offering in that space.
Operator: The next question comes from Chris Shutler with William Blair.
Christopher Shutler: First, on the licensing revenue shortfall that you obviously talked about a couple of weeks ago. To what extent do you think that 2012 was the outlier or do you think that the fourth quarter of '11 was the outlier? Just trying to figure out on a go-forward basis, what we should think of as normalized.
Thomas Hirsch: Yes, I think -- Chris, this is Tom. I think looking back on hindsight, fourth quarter of 2011 was just exceptional from a license standpoint. And I think given the kind of the buying patterns that we're seeing from our customers, more focused on recurring revenue solutions that I would say, we hope there's more additional upside going forward. But clearly, I think 2012 should be more of the benchmark as we look into 2013 and '14, especially given the fact that, as Jeff highlighted, whether it be mobile or other solutions that we have, a lot of the recurring revenue outsourcing solutions are in high demand from our client base.
Christopher Shutler: Okay, great. And then a question on Popmoney. Just how should we think about the -- I guess both from a revenue and expense perspective, when will we start to see revenue show up in the P&L and it be, I guess, noticeable? And then on the flip side, on the expense side, should we expect some expenses to kind of start to fall off of the P&L as we move through 2013?
Jeffery Yabuki: So, Chris, the Popmoney P&L is, as you alluded to, is a somewhat small P&L today. We have spent the majority of our energy over the last 18 months on P2P really building a sizable network. We were excited to have an opportunity to bring our realtime capability into market in the fourth quarter, which we think is really an exciting way to provide differentiation in the market. That said, we're now moving our focus over to what are the right ways to think about driving transactions and the different venues in which we will do that. Instead of talking more specifically about the expenses again or the revenue, I would say that they're embedded in our assumptions for 2013. And we have not really ever believed that we would see really measurable impact from this probably until 2014 and then that will actually ramp for quite a number of years. Not unlike, if you want to look for an example, unlike what happened with bill payment back in the early 2000s.
Christopher Shutler: Okay. And then I guess my last question is just on the new Wells relationship or upgraded Wells relationship. Just could you remind us what you did with Wells before and how that relationship specifically has expanded?
Jeffery Yabuki: So we have done a variety of different things for Wells. I'd rather not talk in specifics about what they do, but we have been providing them with a series of different value-add solutions on -- in terms of e-bill and some other products like that. And Wells got to the point where they were looking for ways to, as many institutions do, have -- perhaps have less providers. And so they looked at an opportunity within their bill payment business to put some of the business together and that's what they ended up doing. And we were fortunate enough to be able to win that business.
Operator: The next question comes from Tien-Tsin Huang with JPMorgan.
Tien-Tsin Huang: I hope you can hear me okay. I'm on the road. Just want a couple of clarifications. Just on the fourth quarter license sales, now were those -- the discretionary shortfall, was that a pushout or did those things -- did you just not expect those sales to materialize? Just trying to understand the change.
Thomas Hirsch: Yes, I think most of those, I would think for -- when I look out for the full year, I think some of that is going to get pushed into 2013, but I would say that we're not anticipating a lot of license revenue growth over where we were in 2012 because again, the demand we're seeing in the client base is coming a lot from our outsourcing solutions. So that's how I would look at that.
Jeffery Yabuki: Yes. And, Tien-Tsin, I would also say this really adds on a little bit to one of the earlier questions. It really -- as we go back and look, we've done not surprisingly a lot of analysis to understand this shortfall. And there really was a bit of an anomalous effect in the fourth quarter of 2011, where the license revenue really jumped up kind of out of trend, if you look back over the 3 or 4 years prior to that. So I think it is a combination. There were some sales and some activity at the end of the year that didn't get done and so that may, in fact, push. But I do think it's more of the anomaly in '11. And to Tom's point, we've really said we don't expect to see this big recapture of that license revenue. We're really thinking that license revenue will go back to what we had seen in the 3 or so years prior to '11 and using that as our trend as opposed to thinking it's all going to come back this year.
Thomas Hirsch: Yes. As you know, it's only about -- today, it's about 4% of our total revenue.
Tien-Tsin Huang: Understood, understood it's small. And I'm just trying to balance out sort of the learnings of the bubble last year versus how your expectation changed, but I think I get it. So just on the -- obviously, a lot of consolidation has been happening with, I guess, online resources as well getting consumed and you've taken a lot of bill pay business to -- so far, which is great. So what do you think that deal means for you in the pipeline for potentially scaling up your share in bill pay?
Jeffery Yabuki: Yes. I mean, I don't actually think it'll have a significant -- it won't signal any kind of significant change in our competitive strategy. I mean, to your point, we've been pretty focused on winning share in the bill payment space. We've done a nice job of that, winning some larger deals over the last couple of years really. And so we'll continue to do that, as well as really making sure that we're doing a nice job delivering as much value as we can to our core clients who use bill pay. And as you know very well, that was a strategy that we started upon early en masse upon the acquisition of CheckFree. So I don't see it having a significant impact on the competitive landscape. From our perspective, we still think there's a lot of value to be derived in strategies that involve bundling. We're very excited about our realtime opportunities and expedited payment opportunities there. And then frankly, when you think about technology, such as e-bill, which are quite differentiating versus the competition, we just believe we have the best solution in the market. And that today, with consumers, the way they are in terms of looking for very high quality product, whether it's availability or feature function, I mean, we bring the best product to the market and we think that's what consumers are demanding and we think that's one of the main reasons why we've been winning. So from our perspective, we'll continue to be out there fighting for business each and every day. But we do have the benefit of having of a very, very strong solution.
Tien-Tsin Huang: Okay, good. Just one last one, if you don't mind. Open, $50 million cost synergies, should we just simplistically cut that $50 million in 3 and spread it out over the next 3 years? I always thought that maybe I'd get more upfront given presumably some overlap and also, this is a type of equity play. So I think that their costs were taken out unintended but [indiscernible] there would be helpful.
Jeffery Yabuki: Yes, yes, Tien-Tsin. I mean, we would expect to actually identify and be able to action a good amount of the cost synergies in year one. And have some -- certainly, have some benefit in our P&L in '13. I wouldn't think that doing 1/3, 1/3, 1/3 is the right way to think about it because of the impact of annualization and other things. Certainly, there are some synergies that you can get on day one but we're deep into an integration planning process right now. We want to make sure that we're making smart moves on the cost side, smart moves on the revenue side, and we'll likely bias to make sure we take the time that's needed so that we can continue to serve the clients very well, which is our #1 priority. And then, really look to make sure that we are delivering on the synergy commitments that we have that we are highly confident in, both in 2013, as well as over the horizon overall.
Thomas Hirsch: Yes. Let me just add one thing. I think you make a good point. I mean, this is private equity-backed so there was not a lot of obvious things to just go in there and take out of the cost structure. So from our perspective, there's going to be much work to be done to sort through what's the right organizational structure, the right way to serve clients going forward before we start taking wholesale costs out of the system.
Operator: Next question comes from Dave Koning with Baird.
David Koning: It sounds like great momentum in bill pay, so congrats on that. I guess, my question on bill pay, specifically, it seems like you troughed in Q3 and things are already getting better in Q4. I'm wondering how good can bill pay transaction growth be in 2013. And maybe if you can segment that a little bit into core -- kind of the core existing base of business growth and then how much of it might be new client growth?
Jeffery Yabuki: Yes. So Dave -- and thanks for the comments. We'll have some pretty solid transaction growth in '13 for sure as we bring on some of these larger clients beginning in Q2 and 3. And that -- and those will primarily be on the kind of the non-account processing integrated sales side even though the majority of our clients, the client wins and numbers, come on that side of the ledger, the majority of the transactions will come from some of the larger clients, such as TD. We would expect those to ramp up really over the next 18 months in terms of the acquisition -- I'm sorry, in terms of the implementations from this year. And then, as we mentioned, we have a large client that will go live in '14 and so that will ramp up as well. So we would actually expect to have a very attractive ramp in '13, but also have a good ramp in '14 and moving forward as we shared at Investor Day. So we are quite bullish on this. And then we also really like what we're seeing on the mobile bill payment front, seeing lots of interesting growth there. Now that's a kind of a gross view and we haven't yet been able to determine how much is moving from channel to channel, but we actually are somewhat ambivalent to that. We just want people paying bills and that and whether it's on a mobile phone, a tablet or using their PC, we're really excited about that. We also -- as you may have seen, we also had our 2 billionth bill presented in the fourth quarter and we think that's actually -- bodes well for our differentiation in the value proposition that we're delivering to consumers and their financial institutions.
David Koning: Yes, okay. Okay, good. And so would you say, on top of -- I mean, obviously, you're doing very well on the sales front and that's going to add a lot over the next couple of years. Do you feel like the existing client base is also -- like is there a little bit of an inflection within the existing client base too, that actual organic kind of bill pay growth is happening again?
Jeffery Yabuki: Yes, good question. We are -- we actually saw some pretty good -- looking at the individual clients, we saw some pretty nice growth happening in the fourth quarter in certain places. In places that -- and you can imagine, right, the growth hasn't been as strong and so that has a little bit of an impact. But we also talked about some deconversions, right? Some deconversions that we were dealing with on some remit-only clients and a couple of reseller clients. And those will all anniversary out this year. So the good news is we would expect to see a little bit of a tailwind even on our organic transaction base.
David Koning: Okay, great. And then just my final one and this is more for Tom, I guess, is just, obviously, a lot of moving parts within the interest expense line given Open's coming on. There's some high rate debt that gets paid off in February. What maybe for a full year should we expect for the interest expense line to be?
Thomas Hirsch: Yes, I mean it's going to be up, Dave, clearly on an incremental basis, primarily just from the Open Solutions interest expense. So I'd say that's a couple of percent on the incremental basis and you can probably do that for modeling.
Operator: Next question comes from Julio Quinteros with Goldman Sachs.
Julio Quinteros: I just have one quick one. I was just going back through the Investor Day presentation and trying to sort of put my arms around the Acumen commentary that you guys had at that point suggested significant growth opportunities and you guys seemed pretty committed to the platform. But then, obviously, there was a change and now we're talking about this acquisition and DNA is kind of the growth going forward in terms of the driver. What was the change or what is it that you guys -- the change you're thinking around Acumen as the platform versus DNA going forward now?
Jeffery Yabuki: Yes. Julio, the real impetus there was we were struggling with the amount of customization and the time to implement Acumen versus the very significant market opportunity that we were uncovering in terms of an innovative platform. You may recall for the last 18 months or so, our comments had been around the fact that we were somewhat surprised at how much movement a new innovative platform was able to dislodge in the existing large credit union space. And we had really strong success with Acumen. You think about a brand-new, to some extent, untested platform is out there winning deal after deal after deal. And those deals aren't just platform, account processing core platform deals. They bring a lot of content with them. So our payment solutions, risk, channels, all kinds of add-on value. So which made that core sale when you add on the 3 to 5x incremental value from the Integrated Solutions, it made it really important to capture that opportunity as fast as possible. So when that converged reality hit us, we really said we think the best thing for us to do is to go in a direction that will allow us to capture as much of the share in that very attractive market as we can. And at the same time, also add, call it, 800 or so core clients that didn't have the integrated value. They didn't have the bundled value that we have within Fiserv and we just thought that made a ton of sense. Specifically, on the Acumen side though, it's really about being able to capture that opportunity as fast as possible and not allow any other competitors to get in with a new solution.
Thomas Hirsch: Yes, we were basically backed up I think for new deals to the end of 2015, somewhere in that particular place because of the complexity of the installations, et cetera and the customization. So that's why we made the strategic decision that Jeff talked about.
Mark Ernst: But in contrast to where we were on Investor Day, I mean, don't take any of this to suggest that on Investor Day, we were not very committed and didn't see the opportunity that we have with Acumen. It was more that the opportunity came along to have a proven platform in the form of DNA that allows us now to accelerate the speed with which we can take this solution out to the market.
Julio Quinteros: Understood. That's helpful. And just one last one on the tone of demand. There was -- if I heard you say, Jeff, something about regulatory and some other issues. If you sort of put aside the -- kind of the headwinds that we know for the contracts and all that stuff, where are you guys in terms of your customers thinking about demand? It sounds like outsourcing is, obviously, still very much in focus but are there other constraints with the customer base that keeps them from stepping up the spending or thinking through some of the demand drivers? Maybe you can just sort of help us frame that a little bit, that would be great.
Mark Ernst: Yes. Hey, this is Mark. So the thing I would tell you is we have seen and continue to see this move toward -- away from in-house toward outsourcing. While that isn't a dramatic change, it is a continuous shift that we see in the market. And so one of the things that we know is happening inside of our portfolio of clients is as we have seen that shifting going on now for a number of years, we have fewer and fewer in-house buying points for new license add-ons, those kinds of things. And we have a larger and larger share of our overall base that is benefiting from our outsourced sort of delivery method. So that is -- that trend not only continues, but it probably -- it also contributes to the issues or the challenges that we will face, both now and in the future with how big we can make license sales.
Jeffery Yabuki: Julio, the other thing is, kind of from an industry perspective, the real constraint that our clients and the market has is revenue is at a premium. And with spreads remaining very low, fee revenue being attacked, that's the real challenge. And we continue to see that rub [ph] -- manifesting itself against how much are banks willing to spend. And so as we've said before, we continue to benefit from where we are positioned in terms of the Channel Solutions, mobile and tablet is becoming a very big deal. The ability to have clients act, cross-sell those kinds of technology solutions and intelligence is really important. And so that's really where we are seeing the focus within the financial institutions. And I don't expect that to really change. I don't expect the purse strings to loosen until the banks and thrifts and credit unions are able to make more money. And we, at least for purposes of thinking about our own guidance, right, we're basically saying that aspect of the environment will remain relatively muted or very similar to what we saw in '12. So we don't expect or need a change in spending. If we were to -- if there -- a change in spending were to occur, we think we would benefit from it, but we're really focused on some of those technologies that will help financial institutions deal with the environment the way it is today.
Operator: Next question comes from David Togut with Evercore Partners.
David Togut: Could you walk through the biggest drivers of outperformance on your cost-reduction program for 2012? And give us an updated target for 2013 cost takeout or operational effectiveness as you dub it? And what would be the biggest drivers of cost savings for next year, excluding the Open Solutions acquisition?
Thomas Hirsch: Yes. I think the -- in regards to 2012, I think, the biggest area are our shared services opportunities, which is all around the sorts of things that we continue to focus on, whether that be around our globalization initiatives, whether that be around our procurement initiatives, whether that be around our data center initiatives, those are probably the biggest components of that success that we had in 2012. And really, David, I think, just having the program that we have in place inside the company and the maturity of the processes, et cetera, that we continue to focus on. So we had a great year from that standpoint. And I think when you see some of the results, when you look at our Financial segment outside of our operational effectiveness initiatives, a lot of the things we talked about that we were going to do in our check processing business, et cetera, just very focused on that. Regarding 2013, David, we continue to make solid progress here. As Jeff highlighted earlier in his comments, we're going to have that to you by the, I think, the end of the first quarter. We'll be putting those new targets out to incorporate all the integration work that we're doing in regards to the Open Solutions acquisition. That's similar to how we approached it when we did the CheckFree acquisition and we'll get those out to you probably on our first quarter call.
Jeffery Yabuki: Yes. And just to add on one thing, David, I would say it's really important for us to make sure that we take into account the Open Solutions business. We don't want to just power forward without really thinking through where might there be incremental opportunities within the infrastructure of that business and the infrastructure of our business. And that's why we're taking the additional time, syncing it up with the integration planning that we're doing. But as Tom mentioned and I mentioned, we'll have some data out for you by the end of the first quarter.
David Togut: But just to clarify on that point, Jeff, I think when you gave out the 5-year cost takeout target a couple of years ago, you initially sketched out a number of about $125 million in aggregate savings for 2013. Now that you have some additional cost takeout from Open, should we expect you to preserve a number of at least $125 million?
Thomas Hirsch: David, we're on full track with the program that we put in place. As you know, we're ahead of where we were, but for the total, we feel very good about that over the 5-year period.
David Togut: Okay. And just a quick housekeeping question, Tom. What was your share count as of December 31 last year?
Thomas Hirsch: 133.4 million. See, David, actually, this time, we actually have that number for you.
Operator: Our next question comes from Ramsey El-Assal with Jefferies.
Ramsey El-Assal: Thanks for taking my question, many of them have already been answered, but according -- I had a couple of quick ones. According to your last 10-K, your percentage of international revenues has ticked up every year. It stood at, I think, 7% in the end of '11 versus something like 5% at the end of 2009. Can you give us an update on this part of your business? Maybe which global markets you're growing in? What offerings are driving the growth, and can we expect to see that share kind of increase at the same rate over time?
Jeffery Yabuki: So thanks for asking. The international business has been a priority. Obviously, it's small, as you note, relative to the rest of the company, but we do expect that to continue to grow. We've had good success in Asia, in EMEA and we'll continue to focus on opportunities that are in the wheelhouse of retail banking and channel solutions. We think those are the biggest opportunities that we have right now. We're also doing some very unique services work as it relates to working with our solutions, both on the retail and on the channel side. So those are the big drivers right now that we see opportunity in. And hopefully, later in the year, at Investor Day, we'll actually be able to give a more cohesive update on where we see the growth coming from internationally over the next several years, especially linked to our Mobiliti and channel strategies.
Ramsey El-Assal: Okay, that's helpful. One last one. Given Fidelity's recent acquisition of mFoundry, are you anticipating any changing dynamics in the mobile category, increased deal competition or pricing pressure? Or do you think that changes the playing field at all?
Jeffery Yabuki: Yes, listen, we think that's a -- that acquisition is a great validation as to the opportunity that we've seen for several years. As we mentioned, we've gone from, in our ASP business, which we built from scratch, we have less than 1,000 ASP subscribers on January 1 of 2010 and we ended this year with a little over 830,000. So we've got a great business growing there. We expect that to actually grow materially in 2013 and that will continue to go. We think the license opportunity is actually very attractive as well. But we think the sustained value in that mobile space is really around subscription, ASP and then the integration of payments capabilities and other capabilities that allow consumers to transact, right. The beauty of mobile today is it's not just about checking bank balances in the banking world. It's about transacting and interacting and building deeper relationships with the consumers' FI. And that's what the beauty of mobile is, that's where we're focused and we think that's probably a good validation for that. As it relates to pricing and other kinds of things like that, obviously, it's too early to tell and it's an interesting market. As Mark talked about earlier, much of the market is still focused on outsource solutions. It took us a couple of years to build our -- what we think is the best ASP solution in the market and we're going to be continuing to focus on that.
Operator: Next question comes from Brett Huff with Stephens.
Brett Huff: Just 2 quick questions. You mentioned that, and I didn't get the stat quite right, that you had several years combined or the sales this year were better than the several years combined, but I wonder if you could morph that into -- in the past, you had given us the sales. This year were X percent higher than the sales last year. Did you give us that stat or could you give us that stat?
Jeffery Yabuki: Yes, we didn't. We'll have to follow up on that. What I had said was the sales of bill payment were bigger in this year than they were in 2008, '09 and '10 combined. They were substantially larger than '11 as well but they weren't -- they were bigger than '08, '09 and '10 combined. The sales overall were -- I think we had 2 quarters that were our highest, topping our top 4 quarters ever. So we had a very strong year overall.
Brett Huff: Okay, that's helpful. And then my next question is on peer-to-peer payments, Popmoney generally. How do you see the market growth right now? Can you give us that percentage or something? And then how big is the total market size that you see in the next 3 years -- not, I mean, maybe 10 years out, I mean, it's much bigger but sort of the addressable market in, say, 3 years?
Jeffery Yabuki: Well, I mean, the addressable market is pretty significant, right, in terms of each U.S.-based household, if you just focus on the consumer side, makes over 100 person-to-person payments a year and then you have many multiples of that occurring on the B2B side and on the C2B side. So I mean, the addressable market is significant. Over the next few years, I mean, I would anticipate that as we see the ramp, right, you'll be measuring the transactions, of course, this is my opinion, I think, you'll be measuring the transactions in the millions, tens of millions plus. Over the next few years, it won't be measured in the billions but we think over time that this solution, as it captures momentum, can very likely be as large as bill payment, if not smaller because the addressable market is multiples of the size of the bill payment business itself.
Operator: Next question comes from Greg Smith with Sterne Agee.
Greg Smith: Any updated thoughts on paying a dividend?
Thomas Hirsch: Yes, Greg, we're very happy with the way we've allocated capital and returned value to our shareholders, as you know, over the last several years. And so we're just really pleased with what we have from a standpoint of how we're allocating capital today, using share repurchase as our capital allocation benchmark. So right now, that's kind of where we're at. It's something that we evaluate on a regular basis but right now, we're satisfied with where we're at.
Greg Smith: Okay. And then anything happening on the check processing side? Obviously, checks are declining but there's always been sort of this promise of more outsourcing occurring. Any reason to be excited there?
Thomas Hirsch: No. I would say the -- that business continues to decline inside but we've really had some really good efficiencies that we've created in that business, as kind of a paper to electronic imaging, et cetera, that area. But we continue to deliver that service but we don't see any large opportunities there.
Jeffery Yabuki: To the extent there's any good news, the decline rate is lessening because so much of the conversion has happened. It's going to continue to decline, but it's certainly not declining at the rate it was several years ago.
Greg Smith: Okay. And then just the outlook for acquisitions, you've obviously got your hands full with Open but is there anything strategically that you're looking for? And any reason we should expect an acquisition more than a few hundred million dollars worth this year?
Jeffery Yabuki: We remain very focused on doing acquisitions that meet our kind of big 3 core strategies, core market strategies. So solutions, Channel Solutions, payments and account processing and then potentially, products that we can distribute back into the account processing base. I think for right now, we're quite focused on integrating Open Solutions. We'll continue to make sure that we look at transactions that make sense into those big 3 areas. But for right now, we're focused on executing, and that's where our head is.
Operator: Next question comes from Bryan Keane with Deutsche Bank Securities.
Ashish Sabadra: This is Ashish calling on behalf of Bryan Keane. I have a quick question regarding CashEdge revenues. I was wondering if you could provide some color on how much did CashEdge generate in 2012. And how did it compare to the $80 million guidance that you provided at the prior Analyst Day?
Thomas Hirsch: So we, obviously, aren't in a position to separately state those revenues. But we, I think, have said on a couple of occasions, we took some steps to make sure that we were proactively building the size of the P2P network, which is one of the main strategic rationale for buying CashEdge and that was our #1 priority. And we actually ended up saying we would give up revenue and we did give up some revenue in 2012 relative to making sure we capture the network opportunity. We remain quite bullish on the variety of products and solutions that are in that base and have actually been very excited about some of what we've seen on the aggregation side of that business, along with P2P so -- I'm sorry, as well as our small business P2P product. So lots of opportunity there. We'll continue to execute it, and we believe it will have meaningful impact over time.
Mark Ernst: And I think if you go back to our Investor Day presentation, I think we highlighted that also.
Ashish Sabadra: Okay. Just to follow up on that Popmoney correction. If you can just provide some information on the revenue model for Popmoney. Do you charge the issuing or the bank a fee per transaction? How's the revenue model? Is it a fee per transaction or is it a license fee? What are the different revenue models out there?
Jeffery Yabuki: It's a hosted model only, so we don't have a license offering in that product. And it varies by institution but not unlike all of the other payments, payments processing models that are out there. It's largely a transactional-based service.
Ashish Sabadra: Okay. And a quick one on the Open Solutions. The number that you had provided earlier, the $320 million revenue run rate, had some Fiserv eliminations also. I was wondering if you can just provide how much that amount is.
Thomas Hirsch: No, that includes our best estimate, including we have some existing relationships with them and a host of other things. So that's our best estimate of the run rate revenue, including that and that's the number we're providing.
Ashish Sabadra: Okay. And one final question, a quick housekeeping one. Down fees. Were there any down fees in fourth quarter?
Thomas Hirsch: Yes, they were about in line. I think they were around $10 million or so, roughly in line with the fourth quarter last year.
Operator: Our last question comes from Andrew Jeffrey with SunTrust.
Andrew Jeffrey: When I look at segment organic revenue growth for 2013, is it reasonable to assume that FI will carry much of the load and then, perhaps, as we go to '14, that shifts back to payment as being the relatively faster-growing segment?
Thomas Hirsch: No, I think it's probably going to be the opposite way. We talked about strength in our Payments segment. I remember, Andrew, I think we disclosed this, right, we have that revenue headwind of a core account processing client that went to their parent's company's platform. So that is going to be a drag in the Financial segment as we go into '13, including some of the Bank of America in the Payments segment. But again, we have good strength, good momentum in the Payments segment. So I wouldn't necessarily clarify it like you did where the strength's going to be in the Financial.
Andrew Jeffrey: Okay. So order of magnitude, the core client in-sourcing has a bigger impact than the BofA contract?
Thomas Hirsch: It's a little bit bigger, that's correct.
Andrew Jeffrey: Okay, okay. And if you could just rank order the growth drivers, when you look at your 3% to 4% organic revenue growth target for '13, could you rank order sort of the businesses that you see contributing to that, just qualitatively so I could understand kind of how you perform against your current expectations?
Thomas Hirsch: Yes, I'll start with that, and then Jeff will add to that, Andrew. But I would say, clearly, as far as driving that growth, our digital channels area, which is the online and Mobiliti areas, our debit processing business, our bill payment business, which is in -- has some good momentum coming off of a decline in 2012. And so good momentum in bill payment, those are 3 big areas, core account processing from a standpoint of continued wins in those particular areas. So I think from a high level, those would be a lot of the growth drivers. Then some of our newer innovative areas that we talked about and whether that be P2P or some of the newer products that we had, that we talked about on Investor Day a little bit.
Eric Nelson: Thanks, everyone, for joining us. We appreciate your time and support. If you have any follow-up questions, please don't hesitate to call our investor relations group and we will talk to you again soon. Thank you.
Operator: This concludes today's conference. Please disconnect at this time.